Operator: Greetings, and welcome to the Bolsa Mexicana de Valores S.A.B. de C.V. Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Ramón Güémez, Chief Financial Officer, please go ahead, sir.
Ramón Sarre: Thank you. Good morning, and welcome to Bolsa Mexicana de Valores Third quarter 2025 Earnings Conference Call. Before proceeding, I'd like to provide a brief safe harbor statement. This presentation contains forward-looking statements and information related to Bolsa that are based on the analysis and expectations of its management as well as assumptions made and information currently available at Bolsa. Such statements reflect the current views of Bolsa related to future events and are subject to risks, uncertainties and assumptions. Many factors could cause the current results, performance or achievements of Bolsa to be somewhat different from any future results, performance or achievements that may be expressed or implied by such forward-looking statements, including, among others, changes in general, economic, political, governmental and business conditions, both in a global scale and in the individual countries in which Bolsa does business, such as changes in monetary policies and inflation rates, in prices, in business strategy and various other factors. Should one or more of these risks or uncertainties materialize or should underlying assumptions prove incorrect, actual results may vary considerably from those described herein as anticipated, believed, estimated, expected or targeted. Bolsa does not intend and does not assume any obligation to update these forward-looking statements. This call is intended for the financial community only, and the floor will be open at the end to address any questions you may have. Joining us for today's call are Jorge Alegria, Chief Executive Officer; Roberto González, Chief Post-Trade Officer; Gabriel Rodríguez, SIF ICAP CEO; and Alfredo Guillén, Managing Director, Equity Markets; José Miguel De Dios, Managing Director, Derivatives Market; Luis René Ramón, Managing Director Business Development; Hanna Rivas FP&A and IR Director; and myself, Ramón Güémez. With that, I would like to turn the call over to Mr. Jorge Alegria, our CEO Yes.
Jorge Formoso: Hello, I hope you can hear me okay. Thank you, Ramón, and good morning, everyone. I hope you are all doing well today. We released our earnings results yesterday evening, providing a comprehensive detail on the third quarter of 2025 results. Copies of our press release and slide deck are available at bmv.com.mx on the Investor Relations. During today's call, I will first review our ongoing initiatives and then briefly comment on our financial results. Then we will conclude with a Q&A session, where we will gladly take your questions via the conference call line. Let us begin with a brief overview of the quarter's most relevant developments, starting with equity market activity. Two new IPOs have now been confirmed in our pipeline. So Aeromexico is coming back to the market and Esentia Energy Systems is debuting. Both have announced plans to list on BMV before year-end. And additionally, 2 more equity transactions are under consideration, one potential IPO and one follow-on offering, both currently still confidential. These transactions reflect renewed interest from the market participants following a period of limited activity. Our bond CCP, following successful regulatory audit, the CCP has been approved to operate as a central counterparty for Mexican government bonds. Participants are now finalizing preparations and the first clear of M bonds trade is expected by mid-November. This CCP launch marks a major transformation for the fixed income market in Mexico. It will enable multilateral clearing between banks and brokers, reducing counterparty risk and limiting contagion. This structure also improves liquidity efficiency by netting positions across all participants, lowering then the overall cost requirements. And additionally, it supports the transition from voice-based to electronic trading. As for the CCP service for repos, we are currently working on its design, targeting a launch by year-end 2026. Given the large size of the repo market, this service is expected to be an important source of revenues for the CCP in the future. Turning to the equity fee schedule. You may recall that in late 2024, our competitor reduced its fees and temporarily impacting our market share. In response and to maintain our competitive position, we submitted a fee adjustment proposal to the Mexican authorities. Over time, our market share remained stable. We are within the 78%, 80% range, reflecting the resilience of our service model and the strength of our client relationships. Our revised equity trading fee is now approved, though we have not decided on implementation date for it. In the meantime, we remain focused on market stability, operational efficiency and delivering value to market participants. In the derivative market segment, the S&P IPC index future was listed on CME, Chicago Mercantile Exchange last August, making it now available on both Mexican Derivatives Exchange, MexDer and CME. This dual listing expands access for local and international investors. Targeted marketing and commercial efforts have positioned it as a key instrument for Mexican equity exposure. Trading activity on CME is often mirrored -- as we can see every day is often mirrored on MexDer primarily through arbitrage strategies. We continue advancing on our technological evolution with a strategic agreement recently signed with NASDAQ to also migrate MexDer platforms. With this, we plan to launch a fully integrated derivatives platform in 2026. And then in 2027, we plan to go live with cloud-based platform for CCPs and for the CSD and Valmer. By modernizing its infrastructure and embracing scalable cloud-native solutions, BMV Group is strengthening its capacity to service the local market, attract international participants, boost transaction volumes and unlock new revenues, particularly through data monetization but also global connectivity. This transformation also reinforces our organization's commitment to innovation, operational resilience and robust security. Earlier this year, we launched our data intelligence unit to lead across functional data strategy all across the organization and headed by top-tier professionals. The initial phase is now underway focusing on mapping the data landscape across all business lines. Next steps include designing central architecture cleaning the data and migrating to a modernized environment. While results may take some time, the strategy will begin to show its potential in the medium term, especially as it aligns with our technology evolution project. As platforms are modernized, they will incorporate data-driven capabilities such as real-time analytics and customizable reporting. As part of our commercial and marketing efforts and the strategy, our new unified structure enables a more efficient and client-focused approach. This quarter, we tripled our targeted campaigns and client outreach compared to the previous quarter. Our communication strategy now delivers more tailored messaging to specific audiences including financial, but also retail clients. Client meetings are focused on 2 key goals: promoting adoption of the bond CCP and repositioning the S&P IPC Index. We also successfully executed a media tour in New York in early September to evaluate Mexico's global profile among international investors. Our central message remains clear. Mexico is a highly attractive investment destination, offering stability, proximity to the U.S. in a dynamic emerging market. Additionally, our digital presence has grown significantly helping to promote our products and expand financial education and awareness. Finally, on our ESG agenda, we are proud to have been recognized by HSBC as governance leaders, receiving an award that highlights top ESG strategies in the country. Being named a leading company in sustainable innovation reinforces our belief that sustainability strengthens our business. Let me now move on to our key financial highlights in the following slides. Please keep in mind that all figures are expressed in Mexican pesos. During Q3 of 2025, total revenues reached MXN 1.1 billion, representing a 4% increase in year-over-year mainly driven by post-trade segment, particularly securities custody along with steady growth in information services and listing activities. EBITDA totaled MXN 623 million, up 2% year-over-year, while EBITDA margin stood at 57% showing a resilient and efficient business with robust cash generation from operations. Net income amounted to MXN 393 million, a 4% decline impacted by recent interest rate cuts by Banxico, which led to lower financial income. On a year-to-date basis, revenues and EBITDA showed double-digit growth, reflecting consistent growth across business lines. EBITDA margins stood at a solid 57%, net income reached MXN 1.2 billion, up 5%. The increase in expenses reflects our strategy, which we will elaborate on later. Please turn to the next slide. In the third quarter of 2025, more than 75% of total revenues came from post-trade information services, equity and capital formation activities, reaching MXN 826 million, showing a solid performance. For the 9 months ended in September 2025, the reference segments also contributed with most revenues, reaching MXN 2.4 billion, reaffirming the company's stable core business foundation. Please turn to Slide 7 to go over equity trading and clearing. In Q3 '25, cash equity trading activity remained at similar levels to Q3 '24 despite a 4% decrease in local operations. Global activity continues showing dynamism as evidenced by an increase of 7%. Regarding market share, BMV's level covers between 28% and 80% -- 78% and 80%. On the clearing business, revenue was up by 8%, while total ADTV for the market remained flat quarter-over-quarter. Revenues from the equity segment increased 6% on a year-to-date basis, but remained unchanged in the third quarter compared to the previous one. Let us go on to the next slide to review derivatives. Revenues from derivatives segment increased in both Q3 and on a year-to-date basis despite a 10% decline in Asigna's revenues, showing more dynamism in futures trading. The average daily notional value of total futures increased by 70%, while open interest doubled in amount compared to 2024 figures. Regarding margin deposits in Asigna, the year-to-date average balance in 2025 decreased by 7%, reaching MXN 42 billion, which continues to represent a relevant figure. On Slide 9, OTC trading results are shown. SIF ICAP's OTC trading revenues decreased 6% in Q3 '25. Both Mexico and Chile experienced lower market activity, along with an appreciation of their currencies. Mexico revenue grew by 3% and Chile decreased by 10%, which contributes with 80% of the total revenues. In Mexico, M bonds trading fell slightly with lower rates. On Slide 10, we have figures for capital formation. Capital Formation revenue increased by 6%, mainly explained by an 80% contribution of maintenance revenues, Listing revenues grew 38% driven by debt listings. Total outstanding long-term listings increased 5% year-over-year, reaching 531 as of September 2025. Moving on to the central securities deposit on Slide 11. In demand revenue grew 8%, driven by an increase in assets under custody in both domestic and global markets and more dynamic global market activity. In Q3, total assets under custody reached MXN 44 trillion, a 12% increase reflecting the contribution of the service, which accounts for nearly 50% of total revenue. The exchange rate effect reduced results by MXN 7 million, reflecting peso appreciation. Finally, on Slide 12, Information Services. Information Services revenue increased by 10%. Market data grew 10% when compared with Q3 '24 and contributed 68% of total revenue. Valmer quarterly revenues increased 11%, explained by new clients and offering new personalized services and APIs. The exchange effects reduced results by MXN 7 million, reflecting peso appreciation. Now let's look at our operating expenses on Slide 13 and 14. Operating expenses for Q3, '25 totaled MXN 543 million, reflecting an 8% increase. This was mainly driven by costs related to marketing and promotion, technology depreciation and personnel which together account for slightly more than 80% of the quarter's expenses, in line with our strategy to continue investing in new business units and technology resilience. Year-to-date expenses reflect similar growth trends in percentage terms. In Q3, 2025, expenses were impacted by MXN 3 million due to FX appreciation. On a cumulative basis, the effect was more significant with a positive impact of slightly over MXN 27 million. Total CapEx for Q3 reached MXN 89 million while year-to-date CapEx is totaling MXN 189 million, in line with our strategy. Our plan to expand our buyback program earlier this year has not been executed as planned due to market conditions. We became active again in early October, and we are ready to remain active through year-end. Our strategy remains centered on returning capital to shareholders over holding excess cash. With this, I conclude my presentation. Thank you for connecting today and listening to our remarks. We would like to remind participants that today's call is being recorded, and a replay will be available to more over Bolsa's corporate website, www.bmv.com.mx, and we're now ready to take any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Ernesto Gabilondo with Bank of America.
Ernesto María Gabilondo Márquez: I have 3 questions from my side. The first one, we noted this quarter, OpEx growth outpaced revenue growth. We have seen some investors raising some eyebrows on when the timing will be to start seeing new initiatives reflecting in revenues. So when do you expect revenue should be able to outpace OpEx growth? For my second question, we have seen the weakness of the dollar and the potential strengthening of the peso is reaching a USMCA agreement. On the other hand, there are expectations for the interest rates to continue to go down. Some analysts are expected to be at 6% by the end of next year. So have management evaluated the possibility to implement some hedges to FX or to rate considering the expectations for the dollar and for rates. And for my last question is if you can give us any update on the discussions for the secondary regulation or hedge funds or multi-funds?
Jorge Formoso: Thank you, Ernesto. I guess, for the first question on OpEx growth versus revenue growth, Ramón, I don't know if you want to add some remarks. What I can tell you that this is as planned and presented at the beginning of the year regarding the investments we are making, especially in technology, data security, upgrading our technology. But Ramón, can you elaborate on that?
Ramón Sarre: Yes. Ernesto, our strategy, which was -- which we commented on was to invest in new products and new departments, especially data and technology. When we are expecting the new revenues from additional services will be when we have the new CCP for bonds and as the data products begin to mature. So we had spoken earlier that we could see we -- we were expecting or we're willing to take a drop in EBITDA margins. It hasn't happened because revenues were better than we had expected, especially during the first half of the year. But we would expect to see revenues begin happening in 2027. For next year, we're still expecting to see more investment than revenue growth. Regarding the second question...
Jorge Formoso: On the weakness of the peso, Ernesto. Yes, we definitely -- I mean, we are aware of the weakness of the U.S. dollar, the strong growth of peso the interest rates coming down. So we would like to analyze some hedging alternatives and how to manage the treasury as well on this environment. I don't know whether Ramón, if you can elaborate on that. But definitely, we should consider something because this is not a temporary thing as it looks.
Ramón Sarre: Well, yes, just to enforce or his comments is something that we've talked about. The audit committee has raised the question is what would be the best -- our best strategy going forward. As you know, we have somewhat of a long position. We also have certain exposure from Chile, which affects us. So it's something that we are considering.
Ernesto María Gabilondo Márquez: Excellent. And for the last question on the update for the secondary regulation?
Jorge Formoso: Yes, on the hedge funds, let me tell you what I know. José Manuel can also add on it. But as you know, the Chairman of the Executive Commission has recently changed. The new Chairman is quite familiar with these rules. What he asked us for a couple of months to take over all the initiatives that he was pushing from his previous post on the treasury. But I think there are very good news for the industry in general to have the new Chairman of the Securities Commission that was involved not only on the writing and pushing in Congress, et cetera, the initiatives, the 2 main initiatives we have seen in the last 3 or 4 years, which were the simplified listings and also the pension funds. What I know is that these big discussions are moving forward and some important news were recently published regarding securities lending by flexibilizing and making the tax treatment for securities lending clearer in order to facilitate security lending, and that will be a key element for the growth of the local hedge fund industry. That's what I can tell you.
Operator: Our next question comes from the line of Brian Flores with Citigroup.
Brian Flores: I have 2 questions. The third one is on margins. I wanted to ask you, you obviously are investing, as you just mentioned, and you also mentioned some changes in market share. So I just wanted to get your view on which one is dominating the compression in margins? Just to understand if you think this is a structural trend? Or do you think, as you mentioned, that they should recover in 2027, do you mean recovering vis-a-vis the current levels or more depressed levels? Do they stay stable or they come back to the levels we saw, for example, in 2024? And then my second question, you mentioned your plans on the buyback program, you said you were going to remain active to year-end. And you call it market conditions. Could you elaborate a bit on that, do you mean the share price to make buybacks is not making a lot of sense right now. Do you mean it's too volatile to do a decision. I just wanted to see if you could elaborate a bit on what are you seeing in these market conditions?
Ramón Sarre: Thank you, Brian. First of all, when we speak about margins, we are talking about EBITDA margins. As I said, they could come down for next year. And for 2027, we would expect them to go back up to these levels to the 57 levels, depending on market conditions, it hopefully is still higher. And market share we expect it to remain around these levels. We don't see -- we don't expect much movement there. Regarding the buyback program, what I said is we are ready to be active. We operate depending on the stock price. The stock price during the first 6 months of the year or 7 months was higher than -- than what we had expected. And so we operated less than we had originally thought -- at current levels, we will be active again. And by that mean -- but it's dependent on the stock price. I don't know if that's clear.
Brian Flores: Yes, it's very clear.
Ramón Sarre: And as I said, our strategy is to return capital. We don't need to hold more cash than we actually need.
Operator: Our next question comes from the line of Carlos Gomez with HSBC. I'm sorry. Our next question comes from the line of Yuri Fernandes with JPMorgan.
Yuri Fernandes: I have one regarding your CapEx. It was higher again. And I know it's part of your post-trade interest formation all your investments it is clear. But I remember in the past call, you mentioned $250 million -- sorry, MXN 250 million kind of guidance for this year. And you are on track for that because you had like a very low first quarter. But if you continue the pace you had this quarter, and we annualize, maybe you're slightly above, right? You could be running at around MXN 300 million, MXN 350 million. So just checking the box, like should we see maybe CapEx above the initial budget? Like are you seeing more investments. And what should we see for 2026? Like should this continue? Because in the end of this impact your margin discussion, right, if you do it takes time for your depreciation to show up your capitalizing expenses. So just trying to understand where your CapEx guidance contrast versus the third quarter print. And then my second question is regarding your equity price decrease. I remember last year, at the beginning of this year, that we were supposed to reduce the trading -- the price of trading, maybe MXN 100 million impact for the year. How is that? Like were you able to get the approvals? You still don't have the approvals, and you don't have like any price reductions. Does it make sense to cut the prices now? If you can provide an update on this topic, it would be interesting.
Jorge Formoso: Yuri, this is Jorge. Thank you for your question. Let me answer the second one. We haven't matched the trading, our trading fees. We haven't decreased, [Technical Difficulty] last year. We have approval from the regulator to go down if we need it. But at the moment, we are -- because we are [Technical Difficulty] market share, we are not planning to move the prices soon, although we are ready to do that if needed. But the pricing structure remains the same as last year. We were not in the need of lowering because the market share, although was lower a little bit at the beginning of the year, we recovered it. So we are not seeing any [Technical Difficulty] to use the new equity tariffs. And I don't know, Ramón, if you can go deeper on the CapEx question from Yuri.
Ramón Sarre: Sure. Yuri, our project -- our main project, which is the technology transformation system from Post-Trade has been -- we included the derivatives platforms. And it has also grown in scope a bit into more data capabilities. So that has led to more CapEx investment. And for next year, it should remain -- that -- both of these projects remain -- the most significant one is being this NASDAQ technological transformation. So yes, we're also expecting high CapEx in the MXN 250 million, MXN 300 million for next year.
Yuri Fernandes: Super clear. How about after debts, should return it to the MXN 200 million that you used to guide or like it's 2026, and then 2027, it goes down or too early to talk about it?
Ramón Sarre: Well, once we're done with the systems for Post-Trade, we're likely to begin with our trading -- with our cash equity trading technology. So it should be a lower investment than this, but we're also going to have more projects there.
Yuri Fernandes: Super clear. And if I may, a third one, and sorry for asking many questions. But we saw many noises on taxation in Mexico with the budget for 2026, right? There was news on insurance to companies, some news on banks. Is there anything in particular for investments exchange? Like is there anything changing for you like on the proposal or nothing major for your sector?
Ramón Sarre: Nothing major. We're not expecting a -- we're not having any impact currently.
Operator: Our next question comes from the line of Edson Murguia with SummaCap.
Edson Murguia: I have one specifically about the technology and my question is, how are you going to make today a operational risk? Because it's my understanding that the plan needs to be in AWS. Even the cloud for 2027 and a couple of days ago, we saw a sort of that, even a brokerage dealer in Mexico, their recovery process was not that quick. So my question is, how are you going to mitigate that specifically? And the second question regarding on technology and this transformation. We have seen an increase in salaries and compensation in a couple of quarters. So -- because you are using AI, if I remember correctly, last quarter, the Chief Information Officer, you mentioned the AI excellence center. And correct me if the name is wrong, are we expecting a headcount reduction?
Jorge Formoso: Can you please repeat the first question?
Edson Murguia: Yes, my first question is how are you going to mitigate technology risk using AWS in the case if another shutdown that we saw a couple of days ago.
Jorge Formoso: I can jump on [indiscernible]. Well the problem that was kind of presented by -- I understand because it's hard to have good understanding of your question because of the noise in the line. But it has to do, as I understand, regarding the problem that the AWS faced last Monday. And we have been taking a look at this condition and this problem came from the Virginia region that is the oldest regions in AWS. The remaining regions in AWS hasn't had any problem with territory and what we are planning is to allocate our operations in the Mexico region. This also has to do with the regulation in order to have -- to give the data [indiscernible]. So we are working in understanding this problem. First, the good news is that the problem on the current performance that AWS has faced are just related with the Virginia region, as these are the oldest ones. The remaining hasn't had any problem. And second, we are taking a look in order to assure that the customer record recondition, we are planning to install already can manage this problem so far. We are pretty confident that the resiliency design that we are planning to implement will also -- can handle the situation. And second, repeating of the condition of the Virginia region. Our presumption will be allocated in the Mexico region. That is main one, and we expect that we have [indiscernible] that is present in the remaining regions in AWS.
Edson Murguia: I'm dividing on the headcount reduction or the possibility because the using of AI?
Jorge Formoso: We don't -- let me say, our investments in technology are aimed at making us more productive. There is no headcount reduction plan or target along with them but with greater technology, you should be more efficient in your operation. Now if people can be assigned to different activities or different productive activities, that will be the case. So our aim is to be more efficient and productive and not necessarily looking at a headcount reduction objective per se.
Edson Murguia: Okay. And last, if I may, regarding on this second phase of the digital transformation, specifically about derivatives. Could you explain a little bit more? It's going to be, I don't know, Asigna first or if this is going to be MexDer because it's my understanding that you're planning a full transformation way clearing central counterparty trading also? And if I may, part of the question is, are you planning to, in this transformation include 0 days to exploration options?
Ramón Sarre: Yes. Yes, José Miguel also maybe help me on the answer, but the answer is -- let me just clarify something. It's not a second stage. Actually, we are planning to deploy all the derivatives technology ready by year-end 2026. So that will include MexDer, and that will include Asigna [indiscernible] to be running into the NASDAQ technology, provided cloud services as well and a lot of flexibility on the design and implementation of new products, including yes, short-dated options, weekly, et cetera, something that currently, we cannot deploy, but next year, we will be able to cope with those needs to -- in terms of time to market and new products implementation with substantial timing reduction in time to market. But that's the new derivatives platforms for both trading and clearly will be ready in 1 year time.
Operator: Our next question comes from the line of Pablo Ordóñez with GBM.
Pablo Ordóñez Peniche: Jorge, Ramón, I have a couple of questions. First, can you comment on the rollout of the business -- of the clearing business for debt. You received authorization back in September to start operations. So my question is are banks and clients participating and also what could be the potential revenue growth for the CCB in the coming years from this project?
Jorge Formoso: [Technical Difficulty]. Yes, we received authorization. We are in the process of the onboarding. We -- there was a call a couple of weeks ago, an industry led by the Central Bank Treasury, the Securities Commission [indiscernible] to announce the launching. The first day of trading, I believe, is November 20 or 26 and I don't have it in front of me but it's, let's say, the last week of November to go live. We have 4 inter-delivery brokers already testing and pretty much connected. And the intention is to have 4 to 6 clearing members by that date ready and more people will be incorporating their request to join clearing for the CCP but we have a list of interested parties -- correct me, Ramón, Roberto is in the line that we have around 14 interested broker dealers and banks to join this first stage of clearing, which will be only cash bonds, cash and M bond clearing to be ready for 2026 rollout of the repos which -- where we expect to have much higher participation. But I don't know if you can look at that add something, Ramón on the projected growth.
Ramón Sarre: Yes, as we said in the call, the significant part of revenues from the CCP will come from the repo service. That is where we're expecting to have the revenue generation and that service will go live at the end of 2026. So we should start seeing revenues let's say, for 2027, have the size of the revenues or how much is still unclear. It depends basically on the final fee schedule, but it will -- we're not expecting anything significant for 2026.
Jorge Formoso: With the current numbers -- just to give you an idea of the size of the market, the -- today, the CCP, the cash equity CCP excluding a little bit more than $1 billion a day, let's say, $1.3 billion a day. The expected size of the M bonds market we are targeting on the first stage is $6 billion. Obviously, fees are not the same. These are public now, it is around 1/3 of the equities but the size of the market is much, much bigger. And that's only cash. Repos, we are talking about 5x those numbers eventually to be targeted in the second stage. So that's why we are enthusiastic about the second stage. And even with the first stage, it means that it's a sizable opportunity for us on the clearing side for M bonds, definitely in the repos and eventually to develop the electronic piece of the trading as well.
Pablo Ordóñez Peniche: That's great color, Jorge and Ramón. Second question, if I may. So you mentioned -- so we are now expecting MXN 250 million in CapEx per year for the coming years. So what are you thinking in terms of the payout? Should this year, you decrease the payout to 70%, do you think that with these levels of CapEx, should we continue to expect dividends around 70% work on Ramón?
Ramón Sarre: First of all, let me clarify. CapEx for next year should be higher than the MXN 250 million that we had expected. We had expected MXN 250 million for this year. We're most likely end up higher, and we will most likely be higher for next year due to the expansion of the projects that we're having. Where the dividend will be depends on the balance we have on dividend and buybacks. It's -- I think you have a very valid point. We cannot have high CapEx, high dividend and high buybacks all at the same time because we're going to run out of cash. So that's something that we will -- the dividend will be a balance between the buyback and the dividend. Our strategy will be to give back as much cash as we can and not keep cash that we do not need and keep that number as high as possible, whether it be through a dividend or through buybacks.
Pablo Ordóñez Peniche: Okay. And when you say higher than MXN 250 million, the CapEx for next year, are you thinking MXN 300 million or even higher than that amount?
Ramón Sarre: We're working on the numbers, but it could be higher than MXN 300 million. Thank you for the question. And I think we have Carlos Gomez now.
Operator: Our next question comes from the line of Carlos Gomez with HSBC.
Carlos Gomez-Lopez: Again, my apologies for my technical problem before. So 2 questions. One is going back to the investment plans. Again, to recall, we have more than MXN 300 million next year. Probably, again, from what we understand, a similar amount the following year, I guess, that is fair to say. This is on CapEx, so it is capitalized. Can you remind us what amortization period you are using and when we will start to see amortization charges hit the income statement more heavily? Is it going to be in 2026 or '27 and beyond? Second, I wanted to ask about the impact of the foreign exchange. You have this very useful table. Thank you for that on Page 8, would you show how on equation on ForEx adjusted terms EBITDA revenues and expenses all grew by 7%. That's actually an acceleration from the 5% that you have from the fourth quarter of last year. Would you say that your business is actually picking up and will be a realistic ForEx adjusted expectation for 2026?
Ramón Sarre: Carlos, regarding the first question, amortization period is somewhere between 7 and 10 years. It depends on the specific project. For the NASDAQ technology, we'll be using 10 years.
Carlos Gomez-Lopez: Is this linear, by the way?
Ramón Sarre: Yes. it's linear. CapEx should be shier in 2026, it should decrease a bit by 2027, but also we could have new projects there, but nothing as large as what we're having right now. And could you repeat the -- your second question, please?
Carlos Gomez-Lopez: So again, when we look at your business on a ForEx-adjusted basis, and you show us those numbers on Page 8 of your press release, you were growing at 5% last year? For the full year, you have been growing 7% in the first 9 months of the year. So should we understand that your business is accelerating? And should we expect a higher rate of growth into next year or this 7% is a realistic one for 2026?
Ramón Sarre: That really depends on what happens to the FX. We have let's say, a rule of thumb, you could say that MXN 1 movement in the exchange rate equals MXN 50 million to MXN 60 million in EBITDA. So if the peso depreciates by MXN 1, we're going to have around MXN 50 million or MXN 60 million more EBITDA. If the peso appreciates by MXN 1, we're going to have MXN 50 million to MXN 60 million less.
Carlos Gomez-Lopez: Okay. So that is the sensitivity to ForEx. And I guess my question is the underlying growth of the business. If the 7% that we see adjusted for ForEx, is a realistic expectation for 2026 or you aim higher or lower than that?
Ramón Sarre: It should be around there.
Operator: There are no questions at this time. I'll turn the floor back to management for any final comments.
Jorge Formoso: Well, thank you very much again. We are very grateful for your time and excited to share our numbers and our plans that are developing as planned and looking for an active and exciting fourth quarter as well as a very productive 2026. So thank you very much to all. And if anything you can check on our website for a replay of the call or reach out to Ramón or Hanna for any questions. Thank you very much for your time.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.